Operator: Hello, everyone, and welcome to the Ryanair Holdings plc FY '25 Earnings Release. My name is Nadia, and I will be coordinating the call today. [Operator Instructions] I will now hand over to your host, Michael O'Leary, Group CEO of Ryanair Holdings to begin. Michael, please go ahead when you're ready.
Michael O’Leary: Okay. Good morning, ladies and gentlemen. Welcome to the Ryanair full year results conference call. We have all of the management on various calls, as I'm now trying to distribute some of the questions around as best we can. I'll take it briefly, you've seen this morning, we released the numbers on ryanair.com website. We reported a full year profit of after tax of EUR1.6 billion compared to a prior year profit after tax of EUR1.92 billion. The reason for the decline in profitability was due to a 7% decline in airfares last year, a number I think we're particularly proud of that fair decline drove traffic growth of 9% to a new record of 200 million passenger despite repeated Boeing delivery delays last summer. While average fares were down 7%, units ancillary revenues were up 1%. Total ancillary revenues were up 10% with 9% traffic growth. I think the most stunning number coming out of this morning's numbers is unit cost per passenger were flat last year, which means we meaningfully again widened the cost gap between us and our competitor EU Airlines, and if anything, that strengthens our ability to grow over the next decade. Despite Boeing delivery delays, we took delivery of 181 Gamechangers at the end of April. We have 618 aircraft in the fleet for this summer. We are constrained in terms of growth because of those delivery delays. We are still -- there's still 29 aircraft we will take this winter for summer of 2026. And that means we can only grow by 3% this year to about 206 million passengers. We used the profit warning last year as an opportunity to increase the share buyback. So we bought back 7% of our shares last year and have canceled them in their entirety. So I think overall, a reasonably good year in a very tough pricing environment for Ryanair, we move into this year then with the kind of unusually for us, with weak prior year comps, particularly in Q1 and we're already seeing that now. So we have a full Easter in this year's April compared to only half of Easter in last year, and we've also fixed the OTA boycott last year. We now have almost all of the significant OTAs are approved and are booking strongly into this summer, which is why we look into this summer. Forward bookings are running close to 1% ahead of where they were at this time last year, and we're pricing up certainly very strongly in Q1. Pricing in Q1 is up about 14%, 15%. Q2 is a little bit early to say, yes, we have only about 30% of the bookings in the system for Q2, but pricing looks like it's up 4%, 5%. We are not going to get quite back all the 7% decline we had last year in Q2, but it looks like we'll get back a significant proportion, if not all of us. Touching on the balance sheet. Gross cash is a bit stronger than we had expected again, primarily due to Boeing delivery delays. At year-end, gross cash was EUR4 billion. Net cash was about EUR1.3 billion. And that's why we've brought forward another share buyback this year. we're ahead on long on cash because of the Boeing delivery delays. And because we have that spare cash we think it's timely to return it to shareholders. The big challenge for us in the next year in terms of cash flow is we have EUR2 billion of maturing bonds, EUR850 million in September, EUR1.2 billion in May of 2026. We plan to pay down all of those bonds out of our internal cash balances. And that will mean Ryanair will this time next year be entirely or almost entirely debt-free and sitting on a fleet of 650 aircraft, totally unencumbered and debt-free. And we would plan to continue to return excess cash to shareholders, but we won't have a lot of excess cash for the next year or 2, as we pay down debt and begin to fund the step-up in the MAX 10 deliveries. The relationship with Boeing, our Boeing's performance has continued to materially improve in the last 12 months. We think the new management team led by Kelly Ortberg and Stephanie Pope in Seattle doing a terrific job, the aircraft, I hope fuselage are coming out of Wichita in a timely manner with very little -- no defects being carried forward, and that's increasing Boeing's ability to step up its manufacturing. I'm heartened by the fact that in April, Boeing delivered 45 aircraft compared to just 24 aircraft in April 2024, and we expect that will continue. Boeing now are reasonably confident that the MAX 10s will be certified later this year, the MAX 7 first, the MAX 10 before the end of the calendar year, and that will put us in good shape, we think, to take delivery of our first 15 MAXs in the spring of 2027. We expect the European short-haul capacity will remain constrained out to 2030, as many of Europe's Airbus operators are still working through their patent with the engine repairs. The 2 big manufacturers, Boeing and Airbus are well behind on their aircraft deliveries and EU consolidation continues. I think the consolidation is also driving that benign pricing environment, certainly, as Lufthansa takes control of Alitalia in Italy, we're seeing strong pricing -- price upward pricing movement in Alitalia. We would expect the same to take place in Portugal when 1 of the major buys TAP. And as the largest airline in Italy, in the largest airline in Portugal, we would expect to continue to benefit from that trend. One of the more notable regional developments has been on the ownership and control side, following an extensive consultation period with regulators and investors, the Board removed the ownership restrictions in March. It means that EU, non-EU shareholders are free to buy the ADRs or the ordinary without restrictions. We will continue to maintain voting restrictions; non-EU shareholders can't vote at the AGMs. Recognition of that development, the MSCI Index recently confirmed Ryanair's inclusion in the MSCI World Index at the end of May, and we would expect to be included in 1 or 2 other of the bigger world indexes before the end of the year. I want to touch briefly on the fact that Howard Miller has chosen not to seek reelection at the next AGM. Howard has been CFO from 1992 to 2014, a period of about some 22 years and then it has been an NED for the last 9 years, has an enormous contribution to the success of Ryanair. In fact, without himself and Mike and Corley, together when we floated in 1997, we would not be where we are today. So I want to recognize that and thank Howard for his effort. Turning briefly to the outlook. As we tried to communicate this morning, we expect the FY traffic growth is constrained. We expect to grow by maybe just 3% this year to 206 million passengers because of those 29 Boeing delivery delays. We've agreed with Boeing we’ll take those deliveries at the back end of this calendar year. So through September, October, November. So we guarantee we'll have all of the 210 Gamechangers well in advance of summer 2026, nevertheless, growth this year will be constrained to 206 million, and then we'll pick it up again or recover to 215 million in FY '27. Following a year of flat unit costs, we expect very modest unit cost inflation in FY '26 as the delivery of more gamechangers, strong get fuel hedging and cost control across the group helps to offset most of what are very egregious increased route and ATC charges and higher environmental costs, the unwinding of the ETS and the introduction of a SAF blend mandates. However, and I know it will come up in the call, like we think that unit cost will be modest, maybe up 1% or 2% where we are this year. To date, for summer 2025, demand is strong. Peak fares are trending modestly ahead of the prior year. We think we're up 5%, 6% in Q2. And the question is what happens for the remainder of the year. Q1 fares are on track to finish a mid-high teen percent ahead of Q1 FY 2025. Some of that is the weak prior year comp and the fact that only half of Easter was in last year's Q1. both as of Easter and this year's Q1. We expect Q2 pricing to recover some but not all of the 7% decline we experienced in prior year Q2. As I said, we're only about 35% of Q2 bookings in the system. And the final H1 outcome is, therefore, heavily dependent on close-in bookings and the peak summer yield. As is normal at this time of the year, we have zero H2 visibility, and therefore, we don't think we can give out full year guidance. Other than to say, we cautiously expect to recover most, but not all of last year's 7% fare decline as we move through the year. It could be better than that, it could be worse than that. It depends on what happens in the geopolitical environment as we move through the year. But that should lead to a reasonable net profit recovery or growth in FY '26. We made 2 years ago, we recorded a profit of EUR1.93 billion. Last year, on the back of 7% lower fares, that fell to EUR1.6 billion. And I think you'll see a reasonably strong recovery in that through for the remainder of this year, but we're not willing to give guidance at this stage and that's because the remainder of Q1, Q2 are heavily dependent on close-in pricing. The one thing I would drive -- with draw to your attention, though, is the opportunity in terms of lower-cost oil going forward. We had already hedged about 85% of our FY '26 fuel at $76 a barrel. Last year, we were hedged at $79 a barrel. So we secured a 4% saving. Following the trunk tariff announcement or independent, we saw a material fall in oil prices. which we will pick up that at the moment. And Friday,[indiscernible] was at $62 a barrel, jet was $67 a barrel. We will pick up meaningful savings on the 15% unhedged for the remainder of this year. We did jump on the oil price weakness following the tariff announcements to hedge 40% of next summer. In other words, H1 FY '27. We've hedged 40% of next summer's oil at $66 a barrel, a 13% saving compared to this year. In -- on a cost or a cost base of $5 billion is our annual oil price. So we think there's a material possibility of -- we think these are a real possibility of making material oil price savings, not just for us but for the rest of the European industry. I think in advance of President Trump's trip to the Middle East last week, we thought more and the more significant development was the fact that the OPEC+ producers abandon their production cuts, 3 weeks before he visited the Middle East. And I think the -- we expect the U.S. administration will turn its attention towards increasing supply and reducing oil prices in advance of the midterms next year, and there may be a short-term or medium-term gain for airlines in general, but Ryanair in particular, as we move forward for the remainder of FY '26, where we have weaker FY '25 comps. That's all I want to say at this stage. Neil, I'll hand it over to you in terms of anything you want to draw attention in the MD&A and then we'll open it up to Q&A.
Neil Sorahan: Thanks, Michael. I'll just reemphasize maybe a couple of the points that you made. So just focusing on costs. As previously guided, we were very pleased to come in flat on a unit cost basis, this was as a result of our strong hedging which helped of productivity pay increases that we had and other Boeing delay related costs that came through the business. As Michael just said, we continue to be well hedged in the current financial year at about $760 a metric ton and then a meaningful dip on our hedging rates of 660 metric ton out to FY '27, where we're over 40% hedged in the all-important first half and about 34% in the second half of the year. So that blend is about 36% on the year. Liquidity was very strong, helped a little bit by the timing of Boeing delivery delays, but we come in with just under EUR4 billion gross cash, EUR1.3 billion net cash after EUR1.6 billion CapEx and EUR1.9 billion shareholder returns, including the EUR1.5 billion buyback, we will be launching the EUR750 million buyback in the open period which starts tomorrow. So later on this week, that EUR750 million buyback will formally launch. Just on the liquidity side as well. I would point out that we increased our revolving credit facility back in March. We upsized it from EUR750 million to EUR1.1 billion, most of it on drawn at this point in time. So it gives us lots of flexibility and additional liquidity should the need arise. And then finally, I would point to our rejoining the MSCI at the back end of May. I think this is an important development on the back of the ownership and control review. And Michael, I don't really have much more to add.
Michael O’Leary: Okay. Eddie, do you want to add anything or kind of just a commercial general trading point of view for the summer?
Edward Wilson: Just from a general, like demand is solid. And like we've taken the opportunity with restrictive capacity increases, which we'll be catching up later on in the year with Boeing with further extracting cost decreases at some of the major hubs that we fly into. So we're much more picky about where we allocate that capacity, and that's going to continue into next or where we pretty much all of those aircraft allocated in their own mind, but there's still a small number of jet that is allocated. So that's what it is.
Michael O’Leary: Good. Okay. We'll open up for Q&A. I'll try and move some of the questions around. We have all the wider management team on the line. So moderator, if you'd open it up, please. And we're going stick everyone to 2 questions, and we'll try and get to as many as we can. Neil has to leave at 11:00 hour time, but we will try to get it wrapped up by 11:00, 11:15.
Operator: [Operator Instructions] Our first question go to Jaime Rowbotham of Deutsche Bank. Jaime please go ahead.
Jaime Rowbotham : Good morning gentlemen. Ticket revs per pack is down only 5% in March without Easter, then up potentially, as you said, 14%, 15% in June with Easter. The net of those 2 is very strong, even considering some tailwind from the resolution of the OTA issues. So have you been surprised by that strength? And maybe by geography, where do you see it mostly coming from? Then one for Neil. Presumably too early to ask a detailed nonfuel cost guidance. So can I ask about CapEx. You mentioned in the deck taking the first 15 MAX 10s in spring '27. Would you be willing to give a steer on the phasing of CapEx over the next 3 years, please, through to fiscal '28? Thanks.
Michael O’Leary : Okay. As in the first half of that, I mean [Indiscernible] contributed as well. We're not that surprised at the strength in Q1. But again, I would caution it is weak prior -- it was more driven by weak prior year comps. We have -- we serve within March last year, we had both [Indiscernible] of Easter this year in March. We have strong growth because last year, we were growing capacity by 9%. I mean we added 17 million passengers last year, this year, we are only growing capacity by 3%. So I think you have a combination of weak prior year comps, very strong Easter because you're two [Indiscernible] of Easter in April. And then we -- the largest area in Europe are only growing our capacity seats year by 6 million passengers instead of 17 million passengers last year. And then you are creating a more benign pricing environment across Europe generally and we will be the beneficiaries of that. I think Q2 is probably a more accurate reflection of the underlying trend. We think at this point in time, Q2, and we did have a very strong Q2 last year. We think Q2 will price up 4%, 5% at the moment. That could get to 7%, 8% if the close-in pricing remains strong. It could weaken if there's some unforeseen events like [Indiscernible] events in Europe, but who knows? And geographically, because we are in constrained capacity, we've been trying to allocate more capacity in those countries and regions we’re abolishing taxes, regional Italy, Hungary, Sweden, and those airports who are still incentivizing growth. But I'll ask Eddie maybe to add a couple of words to that. And then Neil you might comment on the CapEx. Eddie?
Edward Wilson : Yes, I would echo like you've largely touched off all of the points there. I mean, I wouldn't run away with what has happened in as we close out Q1, it really is down to an exceptionally strong Easter, but they were weak prior year comparables as well. We have about 30% of the bookings in for the week. And we are running like just ever so slightly ahead on volumes again, wouldn't run away with us in Q1 at all or translate that into Q2. No real things on the geographies. I mean, like it's a small part of our network, but they [Indiscernible] that there are. Not a [Indiscernible] that there is less - huge amount of capacity from all operators and then [Indiscernible] there seems to be some restriction on a combination down that. Other than that it's right across the board in terms of demand. That's the only sort of color I’d add to that.
Michael O’Leary : Yes. The only other one we do there is the one market that has constrained itself has been Dublin, obviously, where the new government which has now been in place for 5 months with a 20 seat majority still hasn't passed any legislation to scrap the Dublin Airport cap. We have successfully got a legal injunction against it, but it has held up growth that we would otherwise have deployed in Dublin. We are growing reasonably strongly in Cork and Shannon, but they're very small markets. Dublin is being constrained by government inaction and 5 months into the lifetime of this new government, it is time for them to start passing legislation before they all bugger off on summer holidays in the next couple of weeks. Neil, CapEx?
Neil Sorahan : Yes, Jaime. You're right. I'm not going to give you an awful lot of color over and above what we've already put out there. So we're talking about EUR2 billion, maybe a bit higher this year, depending on the timing of aircraft engine shops and other spares and parts. The PDPs on the MAX 10 are going to ramp up relatively slowly over the next couple of years. So you'll see a drop down in CapEx into FY '27, somewhere below the EUR2 billion, and then it will start to creep up again into FY '28. So it will probably be a mid EUR2 billion to EUR2.5 billion to 3 billion] territory that's here. But as I said, it ramps up relatively slowly this year and next with only a small number of aircraft 15 coming in ahead of Summer 2027, there won't be too many delivery payments on the TAM at that point in time as well.
Michael O’Leary: Thanks Jaime. Next question please.
Operator: The next question goes to Stephen Furlong of Davy. Stephen, please go ahead.
Stephen Furlong : Michael, can I ask you one question on the EU and just get a few questions on that. And regulation post Draghi and stuff, are you seeing any signs that there - that’s implied to regulate. I'm thinking of the challenges with the SAF and delays in deliveries just makes the whole net zero thing a challenge for the industry. And then also the noise they make about retaliatory tariffs with Boeing. And then the other thing, maybe for Neil, just talk again about the rationale for, a, paying back the bonds and b, for the upsizing of the facility, the revolver, that would be great. Thanks.
Michael O’Leary : Okay. Thanks, Stephen. No, I'm sad to say we've seen very little action from the EU. The Draghi report, I think it was a very positive development last year, but there's been no action on it. if you want to call out EU in action on regulatory is the failure to take any action on ATC reform. We give them 2 very simple but basic ATC reforms. One, protect overflights during national strikes, no action whatsoever, wringing of hands and saying, oh, it's a national competence. It isn't a national competence, it's a single market, and you can't close down the skies over a single market. just because the French air traffic controllers want to go on strike. They're entirely free to go on strike, but there is no impediments to continuing to overfly France during a national strike. The Italian -- the Italians, the Greek and the Spanish protect overflights during national strikes and the French should be required to do likewise. And more locally, we have this lunatic Spanish minister running around trying to force all airlines to take unlimited bags on board free of charge. It's a clear breach of EU regulation 1008, 2008, which gives the airlines the freedom to set prices free of national interference. And we're still calling on DG Move to take action on this. They've written to the Spanish, but they haven't yet started the enforcement proceedings, and they should. SAF, I would be more optimistic. It is now clear that the oil majors are cutting back development of renewable fuel, there will not be a SAF supply to meet the mandate in 2030. And the only logical development will be to move back those mandates. I think it will come, but it will be come slowly but Europe could do much more in terms of rolling back regulation and making air travel more competitive. The one very significant thing would be to move from the environmental taxes in Europe away from ETS towards CORSIA, which is what the international long-haul airlines pay. The European airlines should be moving environmental taxes away from ETS, which are more towards CORSIA, so that we're all paying CORSIA rents. And then everybody has a is operating off a level playing field. And again, no action whatsoever. So as we always with European Union, particularly Ursula von der Leyen, lots of talk and head nodding and no bloody action whatsoever. But we'll keep pushing, and we'll keep campaigning. I do think I do think we'll see some move back. I think the campaign for ATC reform is unarguable and the campaign to move environmental taxes towards CORSIA, where European citizens will be paying the same environmental taxes as non-European citizens, those 2 cases are unarguable and should be implemented. Neil, do you want to come back in on the rationale for the bond repayments?
Neil Sorahan : Yes, sure. Stephen, and thanks for the question. At the moment, as has been the case for some time, cash continues to be the cheapest form of finance for the Ryanair Group. We finished the year with over -- or just under EUR4 billion in cash. We're sitting on over EUR4 billion in cash at the moment. So we're planning on the basis of paying down the EUR850 million bond in September. That bond has a coupon of 2.875%. If we were to refinance that today, we will pay somewhere in excess of 3.5%. So cash continues to be the cheapest form of financing. We've got another EUR1.2 billion bond with an eye watering coupon of 0.875%, and maturing in May of next year. And again, unless we saw a significant dip in share prices over the coming months, we would finance that also of our own cash resources. The revolving credit facility is a great opportunity for our banking community to step up put some balance sheet at risk while getting opportunities to participate with us on currency and on jet fuel and carbon hedging. So we had an opportunity in March to increase the size of our revolving credit facility from EUR750 million to EUR1.1 billion. We upsized the banking group from '14 to '17, and we extended the term out to March 2030 from 2028. This is a very low-cost facility. Most of it is undrawn. And to be honest, we probably won't much of it over that term unless there are certain shocks or opportunities that we want to jump on top of, but it's probably at a very low margin over your [indiscernible] So it gives us lots of flexibility and lots of liquidity. And really, it's an umbrella if it starts raining.
Michael O’Leary: Stephen, thank you.
Operator: The next question goes to James Hollins of Exane BNP Paribas. Please go ahead.
James Hollins: Thanks. If I can come back on unit costs, unlike Jaime Rowbotham, I'm going to give it a go. If I did my math correctly, you're looking at hedged fuel down about 4% year-on-year this year. You've talked about overall unit cost at 1% to 2%. I assume that implies actually a cost up maybe 3%. I think you flagged double-digit increases in things like recharges. Maybe just, Neil, can give a bit more granularity on where else you're seeing some cost inflation where you're doing much better than that. And the second one, thank you for your comments on ITA. I was interesting about the pricing more or pricing up. Are you seeing any sort of irrational behavior by any competitors in Europe, whether it's on growing ridiculously or putting fares down, I would think maybe sort of wish there, as they grow again. Any comments for you. Thanks.
Michael O’Leary : Okay. Thanks. I mean there's not much more we give you in terms of color. I think it's a cautious guidance. The unit costs up 1% to 2%. We still have 15% on hedged fuel that could kick in a significant saving, which would bring down unit cost. It might go the other way. The 1 callout we would have at this point in time though, is route charges, ATC fees which are going up by -- across Europe by another double-digit percent for probably the world's most spectacularly city service. They'll all start now showing for work style next week at the start of June. Punctuality, which has been at record highs. We're delivering 85% to 90% on-time performance up to the end of May. Last year that fell to 60% in June, July and August, and we expect the same to happen again. Again, we should expect this every year what we -- but what we're entitled to expect is some action from Ursa von der Leyen and her useless crew to reform ATC and yet nothing happens. So there are costs that are moving against us. We've also done another round of pay increases with labor starting on the first of April. That's part of a long-term 4-year and 5-year pay deals. But generally speaking, I think we're reasonably comfortable with where unit costs are. In what we've been trying to do is to transition across to the MAX 10 deliveries, which we hope will happen in spring of 2027 and those aircraft will transform our operating costs. We get 20% more seats, they burn 20% less fuel, and you can argue whether fuel over the new year term will trend downwards or upwards. I think on balance, it trend downwards into the U.S. midterms next year. But the issue for us in unit cost, Jaime, is not our absolute unit cost. It's what are the competition doing? If you look at the reports from all of our competitors across Europe in the last year, they've seen unit cost rise from between 5% to 15% in the case of one spectacular competitor couldn't manage costs as we jumped up and bit them. They are increasingly exposed to financing and leasing, rising leasing costs and all of those are rising rapidly. So the unit cost gap between us and every other area is getting wider. And we have a unique 12 months this year, where we have unusually for Ryanair weak prior year comps. So I think we will make -- we look good this year, but bear in mind that some of that is due to weak prior year comps. Touching just on the pricing, there's nobody out there doing any irrational pricing because there's no real capacity growth wins are taking a couple of aircraft. But frankly, we don't see them in our marketplace. They're still taking capacity away from our markets. I think closed 3 routes out of Vienna down into Italy in this summer where we're the only competitor in those marketplaces. We don't see much out of easyJet. There's been a little bit, I think, some pressure on some of the two offers TUI and Jet2 seem to be kind of doing a bit more seat-only pricing. We think that's the trend last year where during the OTA boycott, some of our kind of holiday customers may have moved towards the tour operators, they've all come back to us this year. But no, I mean everything we see across the marketplace, probably driven by us only growing at 3%, which for us will be a historically low rate of growth is everybody is pricing up and most of the pricing up more than us. Eddie, do you want to add anything on that the?
Edward Wilson : We said like easyJet is not growing and we’re continue to close a number of bases. You've got wins largely growing in places like Romania and further out to the sands and that. So we don't really see them growing in our markets. And we have seen some discounting from competitors, but not a rational discount. As Michael said, that manifested itself, particularly those that are selling package holidays where they have got the option of package holidays and seat only they seem to be discounting on the seat only rather than on the relate on the package side.
Michael O’Leary : But their discounted pricing is still materially higher than our kind of entry pricing. So at the moment, everything we see into the summer season in Q1 and Q2 is strong forward bookings are stronger than we expected for our bookings, closing off some of the cheaper seats and we're pricing up very strong in Q1, but I think the only issue for us at this point in time is this -- in the first half of the year, do we get back all of last year's 7% decline or most of it, I'd be more concerned. I think we'll get back most of it, but not all of it, and I could be pleasantly surprised on the upside, but it's too early to say. Remember, when things are going well in this industry, that's always when some curveball comes out of left field, whether it's geopolitical issues terrorism attacks somewhere something. So we're always cautious when things are going well this well, usually something else goes wrong in this business.
Neil Sorahan : Just before we move off this question, I'd just like to add on the cost side, Michael, we did call out additional environmental costs in the release. This is the staff mandates that have come in this year, and the full unwind of the ETS credits. If I was to point to 1 area where I fail a number of the analysts are maybe a little bit light, it's on that. We've guided that we're moving from EUR850 million charge last year to over EUR1 billion this year. And I still feel that maybe that's James, where some people are a little bit light in their numbers.
Michael O’Leary: Okay. Thanks for that. Next question please.
Operator: The next question goes to Harry Gowers of JPMorgan. Harry, please go ahead.
Harry Gowers: Good morning Michael, Neil. Just on Transatlantic leisure traffic. Are you seeing any evidence that that's redirect into places within Europe on Ryanair instead this summer? And would you expect any material boost in demand or yields from that? Or is it just too hard to tell at this stage? And then just on the share buyback running for 6 to 12 months, just what's your thinking in terms of the time line there? Like will it be the longer end of the time frame given where the shares are trading? Yes, just what your current thinking is on the pace of completing that. Thanks a lot.
Michael O’Leary : Okay. As to the first half, look, I mean, it's too early to say yet, but anecdotally there seems to be a kind of a weakness in EU originating transatlantic travel. U.S. originating is strong into Europe. We think that might be helping. I mean, I think there might be a trend. There's a perception certainly in Europe that the U.S. is an on-welcoming destination at the moment that seems to be translating maybe to a bit more holiday at home in Europe. We see no decline in the inbound transatlantic to Europe this year. And all of the metrics we see forward bookings into Spain, Italy, Greece, the holiday, the islands this summer has been reasonably strong both on the charter side, demand is strong, pricing is strong, and we think there may be some element there. But I couldn't put a number on us it is more really anecdotal than anything else is that there's a little bit of local to people in Europe to travel and transact to the states, and they're staying at home in Europe. But I wouldn't want to put too much more on that. I think the underlying trend on pricing here is not driven by transatlantic demand is driven by heavy capacity constraints in the European marketplace, which I think will roll out this year and probably next year again. On the buyback, Neil, before I give it to you, we're announcing 6 to 12 months I think we've had a strong run in the share price. The buyback comes from that we are surplus cash at the end of the year because of the Boeing delivery delay. So I'm not that first well, we do it over 6 or 12 months. I think Neil and the finance team will largely drive that. I would -- but I would caution -- I don't think -- I think we'd be reluctant to promise any more share buybacks for the next year or 2. We have EUR2 billion of bonds that we have to repay in the next 12 months. That's a big slug of money. We do need to keep building a modest cash position thereafter. We will then -- that will take us into the run into the MAX 10 deliveries running into the summer '27 and summer '28 and we will spend a considerable amount of money on that opening 2 engine shops in the next 2 years, 3 years, where a lot of the order for tooling and spares will be front-ended. And we're looking again, particularly on the LEAP-1B, we may need to buy some more spare engines there. So I would be -- I think this year's share buyback will be the last 1 for a year or 2, unless we do better than we plan on profitability and cash. Neil, maybe you want to add anything to that on the buybacks?
Neil Sorahan : I would say, Harry, I would be expecting it to run slower rather than faster. So closer to 12 and 6 last year's EUR700 million buyback was accelerated because we saw a significant dip on the share price, and we leaned into it. But if we're a more normalized markets with an EUR850 million bond maturity in September and a EUR1.2 billion bond maturity in May of next year. I think this will go a bit slower. So I would be expecting closer to 12 than 6 months.
Harry Gowers: Okay, thanks a lot.
Michael O’Leary: Thanks Harry. Next question please.
Operator: The next question comes to Alex Irving of Bernstein. Alex, please go ahead.
Alex Irving: Hi, good morning gentlemen. Two from me, please. First one, just coming back on costs. You mentioned a moment ago around the paying fees in the first of April which means quantify that? What you're thinking about in 2026 and then any remaining years on the multiyear pay deal? Second question is on tariffs. Would it be right to assume you can just take delivery of planes into the U.K. AOC and avoid any tariffs on delivery itself? But also to what extent would you expect tariff driven increases on upstream components to upward pressure on future CapEx? Thank you.
Michael O’Leary : Sorry, Alex, your line was breaking up. I missed the first half of that question. It was quite on pay increases. So could you just repeat the question?
Alex Irving: Right. You just mentioned the pay increases from first of April, if you could please quantify them?
Michael O’Leary : Well, the answer is no. We don't quantify by increases. There -- the pay increase at the first of April this year are year 3 or 4 -- 3 and 4 of what are 4- and 5-year pay, yes, and we have another agreed pay increase in April 2026. They are modest because we tend to front-end the pay deals where we do multiyear pay deals. But no, we wouldn't put a number. But Darrell Hughes is here with me, who's our Director of people. I ask him to give some outlook or give some color on the pay negotiations or where we are on pay deals. Darrel?
Darrell Hughes: Yes. Thanks, Mike. I think you've covered most of it there. We've got a couple of [indiscernible] deals expiring next March, a couple of pilots as well. The big chunk is in March 2027. So that's really when the cycle comes up for the next round of deals. And as you say, we've got modest increases in the tail end of the existing agreements running in April '26 and -- sorry, April '25 just gone into April '26 as well.
Michael O’Leary : And we think the timing of those deals was driven, Alex. But as we get into April of 2027, we're starting to get into the MAX 10 deliveries where we would be getting a reasonable bank productivity benefit out of those aircraft. Now they're more -- we're getting a reason productivity benefit. I think we can incorporate or afford a reasonably favorable or generous pay deal with our people without going mad over a 3-year or 4-year period on the back of productivity gains that will be delivered by the MAX 10. The tariff question, again I think if I understood, you broke up again, but is one of the solutions with tariffs that we take aircraft into the U.K. Our view generally on tariffs is as follows: one, all of the evidence out of the Trump administration is that they announced tariffs and then -- but they postponed them for 90 days. They do a kind of an outline trade deal with China with the U.K., and they get there's another 90-day postponement. We don't foresee tariffs being a big issue. We think trade deals will replace the risk of tariffs and the tariff imposition of tariffs on commercial aircraft will be delayed until there's a trade deal. We would be very surprised if the European imposed tariffs on commercial aircraft, given that Airbus exports much more wide-body long-haul aircraft to North American customers than North and Boeing goes to Europe. It couldn't be ruled out. But ultimately, our deal with Boeing is a fixed price agreement. So the tariffs will be for Boeing to count not ours, but we would certainly work with Boeing to take deliveries into those economies or those countries where we would by working together with Boeing be able to take delivery of aircraft without any risk of tariffs, if that was the U.K. are somewhere else in Europe, we certainly have a look, and we will be work at Boeing on that.
Alex Irving: Okay, thank you.
Michael O’Leary: Next question please.
Operator: The next question goes to Dudley Shanley of Goodbody. Dudley please go ahead.
Dudley Shanley: Hi, Michael. Two questions. First of all, I think you said on the video today that there was no new bases, but there's 160 new routes. Are the levels of route churn picking up as capacity slows? And if that manage costs? Or is it just better opportunities on the newer routes? And then the second question is a longer-term one. In terms of I guess, the capacity constraints in Europe and the consolidation of the industry, do you still think longer term, we move towards 4 big operators? Thank you.
Michael O’Leary : Okay. Dudley. Eddie, do you want to take the first half of that since you [indiscernible] or do you give it the churn?
Edward Wilson : Yes. I mean there has been a bias towards like increasing frequencies as opposed to launching new routes where you've got to do a lot of investment in lower fares. So -- and we've also picked up some excellent efficiencies, particularly as we launched the winter schedule this year. where we're flying less on Tuesdays and Wednesdays and slightly more on Thursdays and we're probably at the limit of what we can do. We've been on a program of that for the last 2 to 3 years. So yes, you're seeing less new routes more frequency building and a lot more analysis on how we allocate capacity as well, given that they are just numbers, and we have moved around capacity and closed some bases as well, in particular in places like Scandinavia, where you've seen bill on closed, and you've seen taxes rise there as well tourist taxes and you look across the water in Sweden were tax they're going to be ups away and then they end up with essentially the bill on the aircraft in the same season. And so we'll continue to do that turn, and we'll be very judicious on opening new routes.
Michael O’Leary : Okay. Thanks Ed. And capacity constraints, do I think the world moves in the trend of 4 big orbit yes, absolutely. It's going to be -- we are heading for 200 were 206 to over next 2 years, 250 million passengers. The Lufthansa Group, the IAG Group and Air France KLM. We think there will be further consolidation. Obviously, TAP is next on the block. I think inevitably, Wiz will have to find a home somewhere with 1 of the bigger airlines because they clearly can't make any money as an independent airline. And then I think, logically, that's what, over the medium term will happen with easyJet. The challenge for, I think all of the other independent airlines is what do you do when Ryanair keeps expanding in on top of your geography or your marketplace. They don't seem to have -- they don't have a cost base that would enable. They generally as a group of airlines 1 of a cost base that enables them to compete with Ryanair. Their costs -- unit costs are still rising while ours are flat are marginally falling for the next couple of years.
Michael O’Leary : Thanks Dudley, next question please.
Operator: The next question goes to Savanthi Syth of Raymond James. Savanthi, please go ahead.
Savanthi Syth: Hi, good morning everyone. Just a couple of aircraft related questions. Just on the NGE retirements were those expected it looks like maybe 5 are retired and just how are you thinking about disposals in kind of the fiscal year '26? And my second question, just on the MAX delivery. Could you just clarify that, Michael, did you say like just you're not taking any more deliveries ahead of the summer and the rest are coming here in the winter. Is that the way we should think about the rest of the MAX delivery?
Michael O’Leary : Yeah, Savi. So we had the last 5 of this year's deliveries, delivery for this summer, the last 5 were delivered in April. All of them came a couple of days early, which is positive. We had already agreed with Boeing, that we delayed the last 29 of those aircraft. So we have 181 of the 210 Gamechangers order now delivered. We had agreed with them that we would delay the last 29 the spring of 2026. They've asked us recently when we take them in the autumn of 2025, which doesn't really suit us. We can't deploy them during the winter, but we're going to take them early so that at least we ensure and guarantee that we have those there for the summer of 2026. Obviously, that's also a consideration shift there were tariffs, we could delay those deliveries, we'll see air capital manufacturing. We can bring them forward or delay them as long as we get those aircraft in advance of summer 2026, we'd be in very good shape. So coming back then -- and then obviously, the next big issue is getting the MAX 10 certified and be kind of guaranteeing or ensuring that Boeing delivers those -- first 50 of those aircraft for summer '27 growth, which again is kind of critical to our continuing capacity growth here in Europe. But I'm like Boeing, I'm growing more confident that, that will happen without disruption. On the NGE retirements, again, we had planned to start maybe retiring the first at the NGE sometime around 2028, 2029-ish. Again, we could time that around the deliveries of the MAX 10. Obviously, the first issue there is we still need to -- we have the Lauda 27 Airbus aircraft they're due for those leases run out in '28 and '29, we would want to try to replace those with some other Airbus aircraft. But and at the moment, we're still looking at those opportunities, but the market isn't in our favor in the short term. I mean, current market lease rates are more than double what we pay per month on those 27 aircraft. So the first issue would be how do we kind of replace those preferably with Airbus? If not, we replace them with maybe some of our older NGEs and then by the time we get into [29, 30] (ph), we're taking 50 MAX 10 a year, we would then begin to start to retire some of the older NGE aircraft. We have no plans at the moment to dispose of them. It's a bit too far away yet. Clearly, in the current marketplace, you could dispose them because the leasing companies are short aircraft and are pricing up, but we're making so much money out of those aircraft. We would want to continue to maintain our own capacity growth in a market where we're challenged, it's more profitable for us to run the aircraft and operate them as you'll see in this morning's numbers and hopefully in next year's numbers that it would be to sell the aircraft. So -- and nothing in the near term on NGE requirements, and we're very happy with where we are in the MAX deliveries.
Michael O’Leary : Next question, thanks Savi.
Operator: Next question goes to Jarrod Castle of UBS. Jarrod, please go ahead.
Jarrod Castle: Hi, thanks everyone. Good morning. Michael and team, I mean, assuming your shares remain above the level. It looks like you should be able to get your options vesting in about [16, 17] (ph) days. I wanted to get your thoughts, a, in terms of is there potential for a follow-on scheme. I don't know if it's '26, '27. I know the current scheme runs until March '28. And then just also how you see that as an incentive program in general for Ryanair management going forward? And then the second question, it seems like there's more confidence around Boeing and the MAX 10 getting signed off. But just wanted to get your thoughts on if it doesn't get signed off on potentially doing more leases or indeed, maybe there's an external factor where you want to accelerate capacity such as Peace in Ukraine. So just any thoughts on that optionality either way. Thanks.
Michael O’Leary : Okay. Thanks, Jarrod. I'm glad somebody read the options question since I'm sure some more on in the Daily Mail will be writing it up at about [16%] (ph). The options don't vest we may achieve the targets either later on this month or later on this year. But none of those options, and it's not a bonus, it's share options. Don't vest until 2028. I and the rest of the management team have to stay here to 2028 and continue to deliver before we can actually get hold of those share options. So they don't come around for another at 3 years and a lot can happen between now and then. But I accept there's a possibility that we might at least hit the performance targets either later this month or hopefully later this year, remember there's two targets. Share price of EUR21 are an annual profit of EUR2.2 billion. Cash follow-on scheme, I think, pretty limited. The board about 3 or 4 years ago, moved away from share options. We originally had share of for many years that they were driven by profit targets. And the problem is that creates a kind of a regulatory concern that we can't share forward-looking profit on -- or our forward-looking profit targets, so we've moved away from those. For the last, I think, 3 years, certainly the senior management team have been getting LTIPs which are awarded every 2 years, and that seems to be a kind of quieter and more reasonable way of rewarding superior management performance. And I think that may be what will continue going forward. Obviously, my contract runs out in 2028, and there'll have to be some discussion, I presume with the Board and the Remco as to how my remuneration will be fixed from 2028 onwards, if they want me to stay on after 2028. I will have all the usual [indiscernible] out of the newspaper. All I would draw at the point that we are. I think we're delivering exceptional value for Ryanair shareholders in a near of a premiership football or the managers are getting paid EUR20 million to EUR25 million a year. I think Ryanair shareholders are getting a particular value out of our share options, both mine and the rest of the management team. Moving on to some more sensible topics. If the Boeing MAX 10 doesn't certify, we've already had that discussion with Boeing. Boeing have to make something and it is what is likely to happen, although I think it's increasingly unlikely is that they will make more MAX 8200s. And so Boeing have kind of confirmed with us that if for some reason, the MAX doesn't -- they don't think the MAX get certified later this year as they will start to make more MAX 8200s and deliver those to us maybe for summer '27 or summer '28. Boeing do have to make something. I'm reasonably confident this data they'll be making certified MAX 7s and MAX 10, the fallback position is to make more MAX 8200s and they can do that with about 18 months notice. It's only a difference in the fuselage. So one way or another, and now obviously, I would prefer the MAX 10s because they have 20% more seats and 20% less fuel whereas the 8200s have only got 4% more seats and 16% less fuel. So operationally, and Boeing clearly want to sell more MAX7 and MAX 10 than 8200. So I think that's the fallback position which both Boeing and we would be reasonably comfortable with. But I think the likelihood of that fallback are receding as confidence grows and then to get to 7 to 10 certified later this year.
Michael O’Leary : Thanks Jarrod. Next question please.
Operator: Next question goes to Ruairi Cullinane of RBC. Ruairi, please go ahead.
Ruairi Cullinane: Good morning. First question on Slide 9, where you're expecting 7% passenger growth in full year '28. It looks like that's on just over 2% fleet growth. So is there something else other than fleet growth going on there? And then secondly, just on cash tax going forward. The cash tax charge was just under half the tax expense on the income statement. What are your expectations in future? Thank you.
Michael O’Leary : So Neil or Tracey, might do with the cash tax question. Let me just touch on too Slide 9, we set out there what we expect from the kind of the fleet and the fleet growth. We expect FY '27 where that is summer of '26. We pick up the last '29 of the MAX aircraft or the game changer aircraft takes the fleet up to close to 650 or 600 to 650 aircraft. The following year, which is summer '27, we go up by 15%, which is the first of the first 10 of the MAX 10. The first 15% of the MAX 10, sorry, which have 20% more seats. We do believe we would actually pick up the region that there's a little bit more passenger growth there is that we think we will be able to deploy some more of those aircraft in the autumn of '27 or into the spring of '28, we'd have a bit more growth in the winter half of the year. In addition to the summer growth. We wouldn't have any issues over Boeing deliveries during the winter period and we could deploy more of that capacity during the winter period, which is why the passenger growth slightly steps up a bit from 4% in FY '27 7% in FY '28 and then levels out at 4% and 9%, 4% in 2030. And Neil, do or Tracey, do you want to take the cash flow?
Neil Sorahan : The cash tax rate is on a flight to Canada at the moment. to go over and meet our shareholders there. We expect cash tax to remain relatively light for the next number of years. We have significant capital allowances due to the volume of aircraft that we are taking delivery of. The effective tax rate this year and last was 10%. And that will gradually creep up over the next 2 or 3 years as the OECD rules get adopted by more and more countries across Europe, unless, of course, there's a roll back given what's happening in the United States where they've now moved away from OECD. But on cash tax, it will be relatively modest in the overall scale given the capital allowances.
Ruairi Cullinane: Great. Thank you.
Operator: The next question goes to Muneeba Kayani of Bank of America. Muneeba, thank you.
Muneeba Kayani: Yes, good morning. So I wanted to ask firstly around there was around just 1% growth per pax last year. How are you thinking about it this year? Is that kind of a similar flat to 1% increase that we should be expecting? And secondly, if I could just go back to unit costs. through the quarters, is there any cadence? Is 15% a bigger increase in second half or anything like that, that we should be looking out forward. And just secondly, a quick clarification. The guide, is that based on the current jet fuel price or not? Thank you.
Michael O’Leary : Okay. I think both of those sorry, what's the guide you're talking about there? I didn't give any guide.
Muneeba Kayani: When you say no unit cost, when you say the modest increase sorry, for the 15%?
Neil Sorahan : Yes. That would be current [GAAP] (ph) is an even. Because the current share price to leave, as you see it today, like it was taken at a moment in time. So.
Michael O’Leary : That's based on what jet closing last Friday, at about $67 a barrel for the 15%.
Neil Sorahan : Yes, exactly.
Michael O’Leary : Okay. Neil, do you want to take ancillaries and perhaps...
Neil Sorahan : Just over on cost. I'm not going to break out the quarters. We've given full year number. Today, we're not going to go into the micro quarter-by-quarter. I think there's enough there. I'm not able for you to build from. And then on the ancillaries up 1% last year, we'd anticipate something similar, maybe slightly better into FY '26. So I think again, if you model plus 1% probably won't be a million miles away on a per passenger basis.
Michael O’Leary : Okay, thank you Muneeba. Next question please.
Operator: The next question goes to Gerald Khoo of Liberum. Gerald, please go ahead.
Gerald Khoo: Good morning everyone. If I can. Firstly, on finance income, which seems to be very high in the second half in the fourth quarter, I think it implies an interest rate of 10%. I think that line includes some compensation from Boeing. Firstly, is that right? And if so, how long is that likely to continue for? And secondly, you talked about the Spanish rules on cabin bag charges. Can you just clarify what you are actually doing? Are you still able to charge passengers for cabin bags, putting out of Spain or are you actually prohibited from doing that at the moment? Thanks.
Michael O’Leary : Yes. No. The Spanish bank ruling Gerald is under appeal to a regional Spanish court. I mean the appeal is dispensary. So we continue with our policy which is the -- we have one large free carry-on bags for nonpriority passengers, priority passengers get to bring 2 carry-on bags. And there will be no change in those rules. And we think ultimately, unless the commission forces the Spanish to stop interfering and pricing using our in breach of EU regs, if you go to the ECJ, which could take about 2 years. And it will, in our view, undoubted it will be overturned by the ECJ. So it's only a question of time. But at the moment, there is no change there's a bit of jumping up and down various consumer organizations, the whole glorious victory provoking passengers, you can now bring as many bags as you want. Nobody in the industry wants to go back to that kind of free for all. It will result in much bigger airport security queues it results in much higher cost for airlines and higher fares. It is the kind of dumb regulation that drag has been pointing out in Europe. The airlines should be allowed to get on with what we do. We have 200 million passengers last year who demonstrate that they're very happy with our baggage policies and all we want to do is to comply with the sizes so that we don't -- we really don't want anybody's baggage fees, we just want to comply with the bank rules, which makes the airport security and boarding aircraft much more quicker. Financing, there's a tiny bit of Boeing compensation in the finance income line. It is not material. It will not continue Boeing have caught up on those deliveries that we -- well, sorry, the 29 delays next year, there will be a little bit of compensation, but it's very modest and the numbers are small in the context of a EUR1.6 billion full year profit.
Neil Sorahan : Yes. I'd just add, in the MD&A, we do break out that we've got strong cash, low financing costs in the business. And then as Michael said, the modest Boeing compensation, which we received a bit in Q3 and Q4. But it is a confidential agreement. We can't and we won't break out the exact numbers, but it's coming to an end at this stage with just the 29 delays to be caught up and hopefully no more thereafter.
Michael O’Leary : Not alone is it very modest. It doesn't go anywhere close to make up for the shortfall we have of the delayed growth in this marketplace. Thank you Gerald, next question please.
Operator: The next question goes to Andrew Lobbenberg of Barclays. Andrew, please go ahead.
Andrew Lobbenberg : Can I just check. You spoke about the expenditure on the engine MRO shops. Is that all included in the rough CapEx guidance you were giving earlier. And then second question would come around, if not included?
Neil Sorahan : No.
Andrew Lobbenberg : Are you able to quantify like how big it might be or?
Neil Sorahan : Too soon and --.
Andrew Lobbenberg : And then Ukraine and Israel. There's been a lot of excitement about the potential of the piece in these markets yet. We still don't have piece. How are you thinking about it and were there to be the opportunity, how would you execute it? But yes, how you're thinking about those 2 potential opportunities?
Michael O’Leary : Take the first part of the engine CapEx number, it's not all of it. And clearly, we're negotiating this. So -- and it's also subject to finalizing location of both shops and there's obviously some kind of government assistance and some of that. So -- but the reason I want to draw you change the engines that there are -- it is a big CapEx number and it will be a big CapEx number, but it will be spread over a 3- or a 4-year period, but it's a big number and -- but it's something I think that was secure significant cost advantage for Ryanair going forward. Touching on the Ukraine and Israel situations, I mean, clearly, we want to see peace in both our Israel Tel Aviv schedules and to a lesser extent, the Jordan change are repeatedly being disrupted by the -- that conflict. At the moment, we've canceled all the Israel the flights to Tel Aviv until early June. And I think we're running out of patients too with Israel and the Tel Aviv flights to and from Tel Aviv and like if they're going to keep being disrupted by the security disruptions, frankly, we'd be better off sending those aircraft somewhere else in Europe where at least we can sell the seats without these kind of repeated disruptions. Ukraine is clearly a big market for us. We were the second largest airline in Ukraine before the puts legal invasion. We would wish to go back into Ukraine. We have been disappointed, however, at the response of the Ukraine airports who have basically refused to engage with us in a post market in a kind of a post-war marketplace. We would have and we have an extensive plan to go back into Kyiv, Lviv, and Odessa, but we're not sure about the integrity of the runway of the airport in Odessa, but certainly Kyiv, Lviv. At this point in time, I would have said we charge back in there with 5 million passengers in the first year, growing to 10 million passengers within 3 or 4 years. But unless the airports come up and at the moment, all we're getting out of the airports here, just paying the published charges. If that's their response, then I think we would certainly charge back in there with a more extensive network, but a more narrower, I think we'll be looking going back here with maybe 1 million passengers in year 1, rising to maybe EUR2 million or $3 million. And we simply wait for the Ukrainians to realize that nobody else has the seat capacity, if you want to recover and rebuild that economy very rapidly, the egregious profit-making by empty airports is not the way forward. If you're going to rebuild the Ukrainian economy quickly, those airports need to get real, follow the example of many other European airports and aggressively discount what is an empty Airport. We had not just to Ryanair, they should be aggressively discounted to all airlines. It's just that Ryanair is the only area that will go in there on day 1 from about 26 or 30 European cities because we're the only 1 that has basis spread across those 26 or 30 cities. And there's a couple of very lazy airport directors on Ukraine, who need to get them off their fat arises and do a deal with us quickly if they want real radical growth and real radical economic rebuilding and development in Ukraine.
Michael O’Leary: Thanks Andrew, next question please.
Operator: Next question comes to Alex Paterson of Peel Hunt. Alex, please go ahead.
Alex Paterson: Good morning everybody. Two questions, please. Firstly, would you mind just repeating what you said about FY CapEx guidance, please? I just missed that. And also I just wonder your you've been very clear on holidays that you would not be interested in offering them until your aircraft deliveries in the 2030s. But your relationships with OTAs that have signed agreements with you seem to be working well, that seems to be helping you. I just wonder if you might be interested in helping them growing in regions where perhaps their brands aren't so strong, perhaps with people starting a booking by booking flights on your website and then being directed through to theirs in order to book a holiday.
Michael O’Leary : Okay. Niel, you might take the CapEx guidance. I'll about the holidays question. Be careful here, I don't think we're not interested in holidays, but I think that the development of a Ryanair Holidays brand will have -- well, it can only come when we like easyJet others have significantly slowed our growth or we're not eventually growing headline traffic at all. We're too busy getting on with growing headline traffic by 4%, 5% a year, which, in our case, is now 10 million, 15 million passenger growth. We're using Ryanair Labs to transform the way we deliver that service dramatically transforming our cost base. We've done in-house with all our op systems the kiosks are transforming our airport and handling costs, all that kind of stuff. So we have too much going on. We're very pleased with the approved OTA deals. So as far the OTAs themselves, they've been very complementary on the beach, love holidays and those about the growth they're enjoying are stimulating with the Ryanair approved OTAs. And we're very content while we're busy growing headline traffic for the next five or 10 years to let them monetize the holidays or let them work the holidays. If there's particular markets, they want to work with us, we'll be very happy to kind of take that on board, but we want them to do the heavy lifting. I really don't want to waste our time and resources running around places like the Canaries or Greece trying to buy focal hotel rooms or mom and pop book in holidays are organizing post transfers. We've more to be getting on with if you look at our profitability, even this morning in the year where fares declined, we're reporting about EUR1.6 billion in profit. So we carry about twice easyJet traffic, and we're about 3 times their profitability. So I'm not just seeing the easyJet holidays product origin. The holidays have a valuable, it's a bit of a niche. But it's a niche, I think we don't even be interested in looking at when our growth materially slows down. But if there is something that they want to work jointly or there's new markets they want or had to break into, we'd be happy to work with them on that. Adi, do you want to add anything. Maybe Jason might ask you to add something there as well?
Jason McGuinness: The OTAs are agile enough. They don't need our help and there's already evidence that they're moving into winter weekend breaks, which was less of value prior to the agreements, and they never really invested in that because of the potential disruption they're now evolving into that, and they can -- they actually have more of an agility to put things together. You could argue against those that we have to repay in the next 12 months. And there's probably further disruption to come with AI and how all these things are going to be presented in the years ahead. So there's probably going to be a better wave of that. But are able to take our inventory and they're the experts and putting that together at the moment and they're probably much more agile than the more traditional market, even though they had any adviser.
Michael O’Leary : Okay thank you. Or open it up for next that's a useful set we have John Hurley here who, as you know, is the head of Ryanair Labs. And John just useful on the conference call, give us a couple of pointers of what Labs is working on where we think the next development in terms of kind of customer -- improved customer experience and lowering costs coming from?
John Hurley: Thank you, Michael. As you touched on the biggest piece of news from labs this summer has been the role of our new system for ops, crewing and shedding. We called out rocking efficiencies right across the board from pay allocation to main role engineering, to crewing annual leave tying it, and it's all in our code, Ryanair rules sorry, efficiency is baked in. So we're in a very good place there. On the website front, the big news is we launched Primes over the next few months going well for us. We're focusing heavily on customer service and customer service improvements, helping customers self-serve to reduce our cost, which is important and a better process across the board. And the big improvement going forward is going to fully 100% mobile boarding for digital -- on mobile app and that'll happen next November, there are key main highlights were to very hard machine learning. We're looking at AI and machine learning the biggest wins for so far have been dynamic pricing around and some of our fares.
Michael O’Leary : Just on the rocket explain to people what happens. Now for example, there's a disruption, and we now allocate with 600 aircraft. How do we identify standby pilot or there is a disruption the machines are now determining which pilot or which cabin crew standby crew gets called. If that is correct.
Neil Sorahan : So historically, when we had a disruption, we had crew people who is next available on list. Sometimes that was alphabetical, not an ideal way to do it. Now a computer, we can actually look at who is the best or just to cover standby will not impact our schedules in the following weeks and following months. All the carbon crew and pilots limited to FTLs. Can just go by exports on the name. That's now been fully automated. We are now recovering from may disruptions in hours as opposed to in days, so it's going very well and very positive.
Michael O’Leary : I should say 2 on Ryanair Prime has been one of the great skeptics of this thing. I thought it was a complete lot [indiscernible] but I have been persuaded as usual that I'm wrong and the IT and labs team are right. What's different about this is a member subscription service for EUR79. We promise that you have benefits multiyear year-long benefits of travel insurance, seed selection, et cetera. What was different in Ryanair, we said we'd give you 1 major seat sale each month. In the first for a cost of EUR79 in the first 3 months, we've delivered seat sales worth over EUR140. And that's just the first 3 months, we have 9 more of them to go. We will deliver something of the order of over EUR300 to EUR400 in seat sales exclusively for Ryanair Prime members over the next 12 months. I think actually the seat is will get better as obviously, we move out a peak period into the winter period, there will be more availability and deeper discounts. And those are absolutely secure and only offer to is not -- we're not including them in other seed sales. And particularly as prices rise, visibility to kind of payer or design of seat sales specifically for members has been something that I certainly have been surprised at I mean I thought we'd be lucky if we sold 100 Ryanair Prime memberships. We're now up to [30,000 at EUR79] (ph). I think the only mistake we made is we underpriced the prime membership, which should probably -- we should probably charge about EUR99 for it. But if we got the pricing wrong for the first 12 months and for EUR79, Ryanair, Prime members get about EUR300 million or EUR400 million in seat sales, so be it and the numbers continue to increase margin. It's never going to be huge. We're probably at this point in time going to generate about EUR2.5 million in membership fees in a company where we're looking at making EUR1.6 billion is not huge. But I think it is very critical to our ability to target seat sales -- selective seat sales, where we don't want to do a big broad brush jump to shut out of pricing across all I think Ryanair Prime would be something that we will continue to look at work on. And again, it's a demonstration of what labs can do internally and will continue to do.
Michael O’Leary: Next question please.
Operator: We have no further questions. I'll hand back to you, Michael, for closing comments.
Neil Sorahan : I didn't cover Alex's CapEx for them. So we just covered at...
Michael O’Leary : Sorry, apologies.
Neil Sorahan : Alex, I'm assuming you missed the question at the start of the call from Jaime in relation to phasing of MAX PDPs over the next 3 years. So as I said to Jaime, PDPs and delivery payments are going to be relatively light over the next couple of years and then start to phase up into FY '28. So in the current year, we're looking at a CapEx figure around EUR2 billion, maybe a bit more into next year, that's maintenance CapEx aircraft and various other odds and sods dip below EUR2 billion next year. And then I said, Jaime. These are all very broad brush, somewhere between EUR2.5 billion and EUR3 billion in FY '28. And then, of course, when we've more ideas around engine shops, we'll bring those numbers forward.
Michael O’Leary : Okay, ladies and gentlemen, thank you very much for your time this morning. We have an extensive road shows. We have something like 12 teams on the road around the Ireland, U.K., Europe East and West Coast U.S. and we're also -- we're going to do some online teams meetings with Asian investors as well. If you'd like a meeting with us, please come to us through City or Broker City, Davies or Goodbody. And we'd be happy to include you either in lunch or breakfast are set up a one-on-one meeting. If anybody likes to come to Dublin over the summer, before we get to the AGM in September, see the operation, you're more than welcome. And thank you for your support over the last what has been a difficult and challenging 12 months. But I think as you can see in this morning’s numbers, we’re coming out with strengthened very cash positive, and we will be paying down debt aggressively over the next 12 months, or it will be hopefully debt-free in the next 12 months. Still growing strongly in what I hope will be a more benign pricing and certainly more benign fuel environment as well. So I think, hopefully, we’re set fair for a reasonably strong summer trading as long as there’s no unforeseen adverse developments in the next couple of months. So we look forward to meeting you all the roadshow this week. And if not that, we’re seeing in Dublin sometime in the next couple of months. Thank you very much, everybody, and thank you to the moderator for your time and assistance. Bye.
Operator: Thank you. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.